Operator: Ladies and gentlemen, thank you very much for standing by, and welcome to the Ball Corporation Fourth Quarter 2010 Earnings Conference Call. [Operator Instructions] It's now my pleasure to turn the conference over to Dave Hoover, Chairman at Ball Corporation. Please go ahead, sir.
R. Hoover: Thanks, Thelma, and good morning, everyone. This is Ball Corporation's conference call regarding the company's fourth quarter and full year 2010 results. The information provided during this call will contain forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are in the company's latest 10-Q and in other company SEC filings as well as company news releases. And if you don't already have our earnings release, it's available on our website at www.ball.com. Information regarding the use of non-GAAP financial measures may also be found on our website. Joining me on the call today is John Hayes, Ball's President, Chief Executive Officer; and Scott Morrison, Senior Vice President, Chief Financial Officer. In a moment, Scott is going to discuss the financial results for the quarter and for 2010, and then John is going to follow with details about our operating performance and the outlook for 2011. Ball reported strong fourth quarter results due largely to strong operating performance across all our various packaging businesses, excellent program performance in Aerospace, emerging market growth and benefits from our strategic actions taken over the past year or so. In addition to improved results, recent key actions included the successful completion of a new $1.4 billion credit facility, a $500 million bond offering, installing a second line in our Belgrade plant and the announcement just last week that we have successfully closed on the Aerocan acquisition in Europe. Also in the quarter, Ball Aerospace won additional business, increasing our year end backlog to $989 million. So 2010 was an excellent year for Ball. In recognition of the company's strong performance and the growth opportunities ahead, the Board of Directors yesterday approved a 2-for-1 stock split, an increase in the dividend by 40% and a new share repurchase authorization of $20 million post-split shares. And as I mentioned earlier, John Hayes is here in the role of President and Chief Executive Officer of Ball, something we announced back in November would occur, and it did yesterday. So congratulations to John. I will remain Chairman of the Board. I would digress for a second, and our very capable Director of Investor Relations, Ann Scott, did a quick count. And as near as we can tell, this call is something like my 70th, that would be 7-0, or maybe 71st earnings call with the investment community. And that's probably enough. So I'm not going to do this anymore after today. But I do want to thank all of you in the investment community, sell side, buy side and, certainly, our investors. Many of you have actually heard probably most all of those 70 calls, and it's been a great relationship that we've had over these many years. I have a high degree of confidence in this new CEO sitting to my left. And of course, Scott is a recent winner of the best CFO that you all put him up for, which I thought was deserved recognition. I think that our more than 14,500 employees around the world right now really are what makes our company better. We've got an excellent management team that is ready to continue the fine performance. We spent the last couple of days with our Board reviewing our short and longer range business plans. And after more than 40 years here, I've never seen the company in better shape than it is right now. So it's with a lot of pride and anticipation in what I expect to be a great future that I join you today. This is a pretty good call to be hosting. So with that, Scott, I would turn it over to you to talk about the quarter.
Scott Morrison: Thanks, Dave. Ball's comparable diluted earnings per share from continuing operations in the quarter were $1.06 versus last year's $0.83. The following factors contributed to improved results: A tax benefit of $11.8 million or $0.13 per diluted share related to the refinancing in December of the company's term loan and revolving bank facilities; growth on our majority-owned Brazilian JV with fourth quarter being the strongest in Brazil; volume improvements and excellent operating performance in our Metal Packaging businesses; exceptional program performance in our Aerospace business and a lower share count. These positive factors were offset somewhat by a $7 million increase quarter-to-quarter in G&A, primarily due to compensation costs and higher interest expense. A lower euro in the quarter compared to last year decreased diluted earnings per share by $0.02 in the quarter and $0.14 for the year compared to 2009. Turning to full year free cash flow. Ball generated $506 million when adjusting for the AR securitization coming on the balance sheet, which was on target with our expectations and included an incremental $37 million after-tax pension contribution at year end. In 2010, we returned every free cash flow dollar to shareholders via net share buyback of $507 million. Net balance sheet debt at the end of 2010 was approximately $2.66 billion, despite our acquisitions made during the year and acquiring over $500 million of our stock. Credit quality and liquidity of the company remains solid, with the 2010 adjusted EBIT to interest coverage at 5x and net debt to adjusted EBITDA at 2.6x. Committed credit and available liquidity at year end was in excess of $1 billion. For a complete summary of fourth quarter and full year results on a GAAP and non-GAAP basis, please refer to the notes section of today's earnings release. Turning to some key financial metrics for 2011. Due to the acquisition financing and a full year of interest expense from consolidating Brazil's debt, we anticipate full year 2011 interest expense to be approximately $180 million. The full year effective tax rate should be in the range of 31%. On the CapEx front, the full year impact of the JFP, Neuman and Aerocan acquisitions, consolidation of Brazil, specialty can investments and other geographic opportunities we're evaluating, full year 2011 CapEx could approach $500 million. Each of these projects exceeds our after-tax investment hurdle within three years. The timing of certain projects will impact actual spending. And as always, we will keep you updated as the year progresses. We expect 2011 free cash flow to be at least $400 million, with the majority of free cash flow going to share repurchases. As of today's call, $105 million of our stock has been acquired since the beginning of the year. At current exchange rates, year-end net debt is expected to be approximately $2.9 billion, up slightly due to the Aerocan acquisition and cash being oriented to share repurchases and dividends versus debt paydown. Since there was a business divestiture and JV consolidation as well as major acquisitions that occurred in 2010, and so that everyone gets started on the same page for 2011, I wanted to give you a few key modeling data points. G&A will be slightly above $300 million for the full year. Working capital should be a modest source of cash. Pension expense will be relatively flat. Cash pension contributions worldwide will be approximately $55 million, lower than normal due to the incremental $37 million after-tax contribution made at the end of 2010. Maintenance CapEx now runs approximately $175 million. And the December 31, 2010 basic share count was 86,079,000 shares pre-split. So take that into account when calculating yesterday's dividend increase and adjusting for how shares have been purchased year-to-date. With that, I'll turn it over to John to talk more about the operations.
John Hayes: Thank you, Scott. As we have said previously, Ball is in a good place and we have momentum as we head into 2011. We are executing on our strategy to grow our worldwide Beverage Can business and Aerospace business, further develop our Metal Food and Household Products Packaging business and utilize our free cash flow and earnings growth to deliver value to our shareholders. Now turning to the operating segments. Metal Beverage Americas and Asia had significantly higher earnings in the quarter and the year. A full year's impact from consolidating our majority-owned Brazilian joint venture, double-digit volume growth in China, Brazil in specialty cans, an excellent operating performance contributed to our earnings momentum in the quarter. Also a full year's contribution from the October 1, 2009, four-plant acquisition added to year-over-year annual improvement for the segment. We have spent the past couple of years rebalancing our customer portfolio in North America. Recall that earlier in 2010, we stated that our volumes would take a step back in the year, but would recover in 2011 back to our 2008-2009 levels. We are on track and on plan for this to occur. In 2011, the Americas and Asia segment will be managing several capital projects to meet growing customer demand in Brazil and China, as well as repositioning our North American plant footprint to balance our 12-ounce capacity and respond to growing specialty can demand for beer and non-CSD packages. Execution is critical, and we are very focused on making these projects successful. Metal Beverage Europe's earnings were down for the quarter and the full year due entirely to the impact of the lower euro. Mid-single-digit volume growth in the quarter was offset by certain costs associated with moving the Lublin line down to our Serbian plant. The consumption of cans in Germany was up 50% in 2010, a doubling of in-country use to nearly one billion cans, and we see this favorable trend continuing in 2011. We are well-positioned from a manufacturing footprint perspective to take advantage of this expected growth. Now going forward, the results from the recently acquired Aerocan business will be rolled into the segment and will be supported out of our European headquarters in Germany. We are excited about the prospects for this well-run business, and it will allow us to broaden our customer and product portfolio in a growing segment of the metal packaging industry. We will be investing some additional capital to take advantage of this growth and ensure that we can respond to customer and market demands for extruded aluminum containers. The management people of Aerocan fit well with our culture and values, and we welcome the Aerocan employees to the Ball team. Metal Food and Household Products earnings in the quarter were up due to better-than-anticipated volumes, positive impact from the aluminum slug business we acquired in mid-2010 and outstanding plant performance. While full year segment earnings were flat, it is actually an excellent outcome given the difficult comps due to the inventory holding gains recorded in 2009. The dedication of all plant staff to controlling costs, relentless attention to detail and efficiencies, really made a difference in 2010. Aerospace and Technologies posted near double-digit EBIT margins in the quarter and full year. The award of significant work during the third quarter and excellent program performance were the primary reasons earnings increased. As Dave mentioned, backlog end of the year at $989 million which sets us up nicely going into 2011 and beyond. Multi-year programs will begin ramping up during 2011, allowing for more meaningful earnings impact being recorded in 2012. As the top line will grow in 2011, EBIT will likely be flat relative to 2010. In summary, our various businesses finished the year very strong in 2010 and we expect to do even better in 2011. Our key focus areas in the coming year will be on integrating of the Aerocan acquisition, executing on capital spending projects, staying close to our customers and monitoring global opportunities to further strengthen our customer and product portfolio in both Metal Packaging and Aerospace. We fully expect to generate 2011 results in excess of those in 2010. And the company's sound balance sheet allows us flexibility to build on our performance and provides us competitive advantage for years to come. Finally, as this is Dave Hoover's last earning conference call, I would be remiss if we didn't properly and publicly thank Dave for his service to Ball Corporation. David's dedicated over 40 years to ensuring that the company remain humble, honest, energetic and opportunistic. Many words come to mind, but first-class business and a first-class way stand out among them in describing what Dave has brought to Ball. We as employee-owners are better off because of his leadership and his dedication, and we will forever be indebted to him. The financial performance and stock price developments speaks for themselves. And while it is indeed a team effort here at Ball, Dave was the guiding force for the past decade. The last decade has created a high bar for us. And as we move forward, that I can assure that speaking on behalf of all Ball employees, we are laser focused on having that happen. So Dave, thank you. And with that, Thelma, we're ready for questions.
Operator: [Operator Instructions] And our first question comes from the line of George Staphos from Bank of America Merrill Lynch.
George Staphos: I guess the first question I have is on the outlook within Europe and the trends that you're seeing there, do you think that you have enough volume and/or pricing momentum, if you will, to offset what could be a fairly significant currency headwind?
John Hayes: Yes, we expect, George, some decent growth in Europe. I had mentioned what's happening in Germany. That's going very strong. Western Europe, generally speaking, has been strong. We're seeing a little bit of comeback in the East. And in the South, it's a bit soft. But as we sit here going into 2011, we feel pretty good about the volume outlook. There's been a lot of inflation as well on the raw materials side of the business. But we think we've been able to adequately manage that as well, so we feel pretty constructive as we sit here right now.
George Staphos: As you think about some of the potential new geographic opportunities that you suggested in your commentary, John, could you give us -- to the extent it's not proprietary, maybe it is, but could you give us a bit more color in terms of what you're thinking about either regionally or forefront?
John Hayes: Well, I think what we're talking, George, is more regional. And in many of the places in which we operate that are in emerging or developing markets, we continue to see strong growth. So it's probably a touch premature to be specific about that. But you know where we operate, and we want to take our relative share of that growth as it continues.
George Staphos: Could you give us a bit more color in terms of the decision around Torrance, which I guess is an old Reynolds facility. Why don't you need that capacity from a 12-ounce standpoint? Why do you need it from a specialty standpoint? I mean, what kind of growth are you seeing in that category right now, or what types of specialty cans as well are you seeing most of the growth in?
John Hayes: Yes, George, this is part of our overall rebalancing of our portfolio. And as we look as to where our volumes are moving forward, we just think it was an opportunity to rebalance it and put a little bit more in our Whitby, Ontario facility from a 12-ounce perspective. The Torrance plant, the people are an excellent group there, but it's just a very high-cost place to do business in Southern California there. So that's the rationale around Torrance. In terms of the growth of our specialty, we're seeing it in some of the larger sizes, the 24-ounce, the 16-ounce. Torrance did make some of those larger sizes, the 16-ounce. And so we had the opportunity to kill two birds with one stone, so to speak. And we're putting some new capacity in Fort Worth, Texas, that should help us out overall.
George Staphos: Trim cans, are you seeing much growth there? Or did that come and go, so to speak, in 2010?
John Hayes: No, it's -- we're still seeing some modest growth. During the 2008, 2009, we did have some softness there, but it's been becoming back, but it's not growing as fast as the 24-ounce or 16-ounce.
Operator: We're going to continue on with our next question. This comes from the line of Ghansham Panjabi from Baird.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated: First question, you made some decent size acquisitions to support your growth strategy in the bottle can market. Is it time to sort of formalize the growth opportunity for this business longer term for Ball? And if you could answer whether some of this growth is going to cannibalize your existing portfolio or is it incremental to what you already have?
John Hayes: Well, overall, the aerosol market has been growing. And in particular, on the aluminum side, a lot of it has to do with changing consumer preferences, we're seeing more deodorants in aluminum impact extruded bottles, and in other things like the hairsprays, et cetera. And so we see some growth not only in Europe, but also in other parts of the world. And we've been very much focused over the last 18 months to try and develop a strategy on that. I think the Neuman Aluminum was an importantly step in it, and then the Aerocan acquisition was yet something else. So you should expect as we go forward that we're continuing to look. We're only going to do if it's profitable growth for us. You also asked about the conversions. We are seeing a little bit of conversions from steel to aluminum. But fundamentally, there are different markets that they attack. On the tinplate side, it really is more of a household product and paint and general line type of business. And on the aluminum impact extruded, it's more about the personal care and beauty.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated: And then your commentary on free cash flow being allocated towards share buybacks, is that a signal that M&A may not be the highest priority in '11? Or am I reading too much into it?
Scott Morrison: No, I don't think you should read that into it. We're just gonna use right now, we look to use most of our free cash flow to buy back our stock. And if other opportunities come up, we may adjust that. But right now, that's the plan.
Operator: Our next question comes from the line of Chris Manuel from KeyBanc.
Christopher Manuel - KeyBanc Capital Markets Inc.: I wanted to expand a little bit on the Aerocan side piece, if I could. And maybe come at it from the direction of CapEx potentially being as much as $500 million is a very, very big step up. As you look at the incremental CapEx that you're spending, could you maybe give us a sense as, whether it be product areas or regions or things of that nature, that most of that's going towards?
Scott Morrison: Well, we're seeing great opportunities. I mean, Aerocan, there will be some CapEx associated with that. But much of the CapEx are just going to growth opportunities, whether it's specialty cans here or beverage cans and aluminum aerosol and other places. So we don't see this as necessarily a change. It's just chasing the best opportunities that show good returns.
John Hayes: And let's also not forget that sitting here a year ago, we had not consolidated our Brazil operations. We did not have Neuman Aluminum nor did we have Aerocan. And so just the consolidation of just even maintenance capital for each of those increases our overall CapEx. And then we have announced whether it's the Alumi-Tek bottle here in North America, our Torrance restructuring and the addition of 16-ounce and 24-ounce. We've talked about the Lublin line being moved to Serbia, and then we have some other things on the plate. So we think our 2011 cash flow adjusted for this growth capital is actually going to be better than it was in 2010. And so when it's better than 2010, and we have some opportunities to invest in our business prudently where the returns absolutely are there. And then use every incremental dollar to buy back our stock, we think that's a prudent thing to do for our shareholders.
Christopher Manuel - KeyBanc Capital Markets Inc.: When you're looking at -- is there any contemplation within that number of expanding some of the Aerocan assets either towards North America, where you already have some of the slug market, or potentially even South America where you've got some of the steel aerosol today?
Scott Morrison: No, not right now. That's not in our plans.
Christopher Manuel - KeyBanc Capital Markets Inc.: If you could maybe just give us a best guess effort as you look out -- you've already given some commentary towards Europe, I think with volumes continuing to be good. But what your outlook might be for North America, South America, Asia, et cetera, for potential for volume for 2011?
John Hayes: Well, as you all know, let's talk about Asia and let's talk about Brazil where volumes have been on a tear, and both those regions, they've been approaching 20% growth year-over-year. And we see -- we don't think that's going to continue to happen over the long term. But as we sit here today, we see those trends still occurring. And Brazil, as you know, they have the World Cup coming up, they have the Olympics coming up, they have a lot of infrastructures projects coming up to help support that. That's going to create more middle-class growth and middle-class rise of incomes, which is certainly helpful to our product. And then in Asia, you have different effects going on with those trends that we've talked about in the past, continuing to go strong. Here in North America, as you all know, the year ended up actually on a strong note. The fourth quarter was up slightly, and we don't see any big deviations from an industry perspective of the change of that. There's certainly some growth in specialty. There's some growth in craft beer. The soft drink has had a lot of promotion going on and off, and we continue to see some spot promotions here and there. So we expect that to occur in 2011. So overall, from an industry perspective, we're assuming relatively flat growth in North America.
Operator: Continuing on, our next question comes from Chip Dillon from Crédit Suisse.
Chip Dillon - Crédit Suisse AG: Question on the CapEx number for this year and two things. One, can you give us a little bit more detail as sort of how proportionately that roughly 325 that's above maintenance will be spent among the various regions and projects and their startup dates? And then quickly, how do you think CapEx will go next year? Do you think it will probably die down a little bit and assuming no acquisitions? Or it could stay at this level?
Scott Morrison: Sure. Well, the big projects this year that are driving it are North America, we mentioned the Whitby line, the growth in Fort Worth with the 16-ounce to 24-ounce and the Alumi-Tek line. And when you look to other markets, the line that's moving from Lublin down to Belgrade, that's a big chunk of Europe's CapEx for this year. And then we're evaluating other opportunities in other geographies that we just haven't talked about yet. This year is really kind of a big chunk. And then we see CapEx longer term in '12 and '13 going back down to more normalized levels to depreciation or below.
Chip Dillon - Crédit Suisse AG: And is it fair to say of the $500 million that you've identified for this year, maybe $100 million of it could go in that bucket that you just haven't identified yet?
Scott Morrison: That's correct. That's why we haven't given specifics. But it's things that we're continuing to evaluate and just not ready to talk about yet.
Chip Dillon - Crédit Suisse AG: And then looking at the Aerocan opportunity, I mean, from what I understand from that business, it actually floundered a bit. And now it's really hit its time, I guess, over there. And I guess, one, how did you sort of find it? And do you think there are other sort of Aerocans out there, sort of emerging aluminum-based or other metal-based container businesses that might be available that could be like that out there?
John Hayes: This is John. We've been exploring that market, as I've mentioned, actually for a number of years now. And as it started to mature and really accelerate some of the growth that we saw happening, it was just a good opportunity. You're absolutely right, the Aerocan business five years ago was part of a larger conglomerate and was taken private by the management who's done an absolutely wonderful job of repositioning that business, getting its costs in order, getting its revenue in order and help stimulating demand. And so we think it's one of the best run business in that part of the Metal Packaging segment, and we're delighted to have them aboard. And it's going to give us more opportunities to continue to look. There are other companies out there. We also have opportunities to go greenfield. We're still exploring a bunch of different things. And when it's the right time to talk about something that makes good value for our shareholders, we'll certainly do that.
Operator: Continuing on, our next question comes from the line of Mark Wilde from Deutsche Bank.
Mark Wilde - Deutsche Bank AG: I wondered if it's possible, just one more time on Aerocan, is it possible to give a sense of what you think the potential market is? Or what you think the potential growth rate in that market might be?
John Hayes: Well, it varies by region. But just to give you a sense, we would say here in North America, it's growing mid-single digits. Down in South America, it's growing faster than that, even approaching double digits. And then in Europe, it's high-single digits. So it certainly has a growth profile that's a little bit better than some of the businesses we're currently in, but it's certainly not as big, either. So as I said we have opportunities to look in all those different places, and the European one made a lot of sense for us at this time.
Mark Wilde - Deutsche Bank AG: I wondered, just as a follow on, can you talk a little bit about Aerospace? It just seems like this business is stepping up to a whole new level of activity. And so I wondered if you could talk about that, and whether you could also talk about what the sensitivity do that business might be to these budget cuts that we're hearing about in Defense and elsewhere across the government?
John Hayes: You're absolutely right. We are stepping up into some things that we're very excited about. We've been working on some of these programs for a very long time. They've been delayed because of all sorts of government budget issues. And as we sit here today, we feel pretty constructive about them. But there is of those big four projects that we won back in the third quarter, a couple of them haven't been funded yet. And we fully expect them to be funded. But as you probably know, our government's operating under a continuing resolution. And so it just takes more time to get those funded, but we're ramping up. We do have some of the money funded towards those things, and we're going full steam ahead. And as we said, those projects are big and they're in the hardware side. And that's typically a lumpy part of our business as we've talked about previously. But it fits directly into the sweet spot of what we do, and these are long-term projects that we're very excited about.
Mark Wilde - Deutsche Bank AG: So, John, as that business flexes to expand with the kind of growth in backlogs that we've seen, is that a lot of extra capital dollars there or not? Is that mostly kind of people?
John Hayes: Yes, mostly people.
Operator: Continuing on, our next question comes from the line of Richard Skidmore from Goldman Sachs.
Richard Skidmore - Goldman Sachs Group Inc.: Just to maybe follow up on the North American restructuring, can you talk about how you see the cost savings? And what the magnitude of those cost savings could be? And how they might flow through either in 2011 and '12?
Scott Morrison: There won't be that much that we get a benefit from in 2011. The plant won't close until sometime mid-year or so. So more of the benefit will come later, in the back half of the year, and then in 2012.
Richard Skidmore - Goldman Sachs Group Inc.: And in terms of magnitude of the savings, have you identified that? Or can you share that with us?
John Hayes: I think we haven't identified anything yet. But we said it in the past, when we close a facility of that size, we typically get in the range of $25 million of savings.
Richard Skidmore - Goldman Sachs Group Inc.: And then just lastly, as you look at that North American footprint and given the outlook for kind of flattish growth in North America, with this move, do you see any additional restructuring that might need to take place over the next year or two? Or do you feel like the footprint's appropriately sized?
John Hayes: I think the footprint's appropriately sized. As you know, over the past couple of years, we have closed several facilities. I think this is our fourth one in the last three years in this part of the business. So we think our costs are in good line. Our footprints are in good shape. So we don't see anything as we sit here today going forward.
Operator: Continuing on, our next question comes from the line of Andy Feinman from Iridian Asset Management.
Andrew Feinman - Iridian Asset Management: Scott, I think you said that each one of the capital projects will exceed the required return within three years. What's the required return that you're talking about? Weighted average cost of capital or is it -- you know what I mean? Because these days, if the required return is what you're earning on your cash, then you know what I mean, it's not...
Scott Morrison: It's a bit higher than. Our target of return is different by geography. So in North America, we use a 9% after-tax return. And in other geographies that have a little bit more volatility, it gets them kind of the 11%, 12% type of return required.
Andrew Feinman - Iridian Asset Management: Also, Scott, you gave the number of shares at 86.79 million at the end of year. Is that primary or diluted?
Scott Morrison: That's diluted. I'm sorry, it's basic.
Andrew Feinman - Iridian Asset Management: That's what I meant, basic or diluted. And then you said the pension expense would be flat in 2011. Can you tell me what it was 2010?
Scott Morrison: It was around $80 million in 2010.
Andrew Feinman - Iridian Asset Management: And then you wouldn't by any chance have the -- I know you added $37 million to the pension funding in the fourth quarter, but do you have a full year number?
Scott Morrison: Full year pension funding was around $140 million worldwide. So if you look at all of our plants in Europe and the U.S., it's about $140 million.
Andrew Feinman - Iridian Asset Management: So that's $140 million going to $55 million, because you put money in at that time. And then I was just wondering how many shares of DigitalGlobe you still have, and what's the stock price? I was trying to find it on Bloomberg, and I couldn't.
John Hayes: Andy, this is John. I don't have it off the top of my head, but it's a de minimis amount. We don't have that much left.
Andrew Feinman - Iridian Asset Management: So that's not a significant amount of cash that you could realize at some future date?
John Hayes: Don't think so.
Operator: Continuing on, our question comes from the line of Al Kabili from Macquarie.
Albert Kabili - Macquarie Research: I guess first question on the -- switching, I guess, to Metal Food and Household, with tinplate inflation, can you give us a sense where that's finally shaken out at? You feel you've got that priced in for this year? And did you see any pre-buy in the fourth quarter ahead of this?
John Hayes: Well, as you know, we're seeing signs of inflation in the economy, whether it's oil, food, staples, metal. The input costs for our steel suppliers have gone up and as a result, they've been negotiating higher prices. Obviously, we don't go into the detail of that or the context of our conversations, but we've been working hard on behalf of our customers. And we fully expect to pass all that through to our customers, the increases that we've been receiving. In terms of your question about fourth quarter buy ahead, every year it seems like there's a little bit here and there, but there is nothing of note this year.
Albert Kabili - Macquarie Research: I may have missed it. But did you give out what the volume was in that segment in the fourth quarter?
John Hayes: No, I don't think I did. It was roughly flat year-on-year, as the overall market was roughly flat and we were roughly flat as well.
Albert Kabili - Macquarie Research: And then as we look out at aerosol cans, what's the outlook for 2011? Do we see a continued rebound there in terms of volumes with increased consumer spending? How did some of the new contracts come along there in terms of volumes?
John Hayes: We're expecting and we're planning for relatively flat volume in that business as well. There's always a little puts-and-takes here. On the paint and general line side, we saw some good rebound back in 2010 relative to 2009. I don't think we're going to expect that to happen again because it has come back but overall, relatively flat.
Albert Kabili - Macquarie Research: And in your comments, I know North America bev, you're looking for flat for the market. And then you guys have a step up in terms of volumes. Can you give out what your volume outlook might be looking like for North America bev?
John Hayes: Well, what we said if you go back probably nine months ago or so when we were talking about this, we said we'd be stepping back a couple of billion units of volume in 2010 and then gaining that back and a bit more going back to 2008, 2009 levels. And that's where we are. Recall that in 2008, 2009, we had declined then as well, going into 2010, we took a further step back in 2010. And now we're just getting it back.
Albert Kabili - Macquarie Research: So you see it close to 2008 levels, if I heard you right?
John Hayes: 2008, 2009 levels, yes.
Albert Kabili - Macquarie Research: And then last question, I guess for Scott, on the corporate cost line item, what number should we be using as a sustainable number for that?
Scott Morrison: Well, this year, what drove it up a bit higher was the run-up in the stock price. We had a 32% increase in our stock price, so that affects mark-to-market on our deferred compensation plans that runs through that line. And so on a more normalized level, it should drop back down to levels that are probably more in the 60s, low 60s.
John Hayes: And hopefully not drop down too much.
Scott Morrison: Right. We're being conservative on the stock price. But hopefully, we're wrong and it goes up again like that.
Albert Kabili - Macquarie Research: Okay, so low 60s for the year?
Scott Morrison: For the year.
Operator: Continuing on, our next question comes from the line of Pete Rushmeier from Barclays Capital.
Peter Ruschmeier - Barclays Capital: I was hoping maybe, Scott, you could update us on the underfunded pension balance at the end of the year?
Scott Morrison: If you take out the German plant, which is a pay-as-you-go type of plant, in the U.S. and really all the U.K. plants are little above 80% funded. So the total of the underfunding in the U.S. is around a couple of hundred million dollars.
Peter Ruschmeier - Barclays Capital: I'm curious if we exclude out the pending growth initiatives that you have, how much slack do you have in your system to respond to market demand? How much can you flex in and crank up your volumes, net of your investments and your new projects?
John Hayes: Well, obviously, it varies by business or by geography. Historically, we've been very good at rising to the challenge when we need to do that. In Europe, one of the reasons why we are moving the line from Lublin into Serbia because this is a very good footprint, anticipating the comeback of the can into Germany continues, which we fully expect it will. Here in North America, we think our footprint is right and we don't anticipate any big spikes in that. And if we do have big spikes, we're going to have to scramble a bit. But we think we'd be able to deal with that. And then in Brazil and China, just keeping up with this 20% plus or minus growth we've been experiencing, and it's a wonderful high-class problem to have. And some of the thing Scott was talking about in terms of capital, while we haven't talked about them are targeted in those general areas.
Peter Ruschmeier - Barclays Capital: And John, you got a diversified footprint as it is. Do you see enough growth opportunities in these markets? Or do you think that over time kind of strategically, we would see Ball branch out even further from a geographic footprint standpoint?
John Hayes: Well, we're always looking. But when you think about the success we've had over the last decade, a lot of it has to do with capital allocation. And so we're very agnostic when we look at these types of things. And if there's a great opportunity that we can generate sustainable long-term returns, in excess not only of our cost of capital but what we think is a fair value for our stock is, we'll certainly consider those. We've been, as Scott has mentioned, we used all of our free cash flow last year to buy back our stock, but we did have some growth capital. And that's the same methodology we're going through this year. We see some good growth in certain areas. We're not going crazy on that. And we're using all of the incremental, or most of the incremental free cash flow to buy back our stock. And if an acquisition pops up that we think is very attractive, we'll go after that as well. That's how we've created value over the last decade. And that's exactly the same methodology we are using as we look forward.
Peter Ruschmeier - Barclays Capital: You highlighted some of the capacity projects this year. I'm curious if you can elaborate further on the timing of those? And also I'm just trying to understand as you startup these projects, I would imagine that you have a certain amount of startup expense. I mean is there an aggregate amount of startup expense that you're going to incur in '11? And how quickly do you get to the full contribution margin of those projects?
John Hayes: Well, some of the projects we have not -- the timing is unclear because we haven't announced them because we're still evaluating them. Scott was just giving a heads-up that we expect them to occur, but they may not. So the timing on the things we haven't announced is a bit unclear. Some of the other known projects, yes, we do have some startup expense. I don't think we've quantified it on a quarter or even for the year right now. It's a little bit, but I wouldn't worry too much about that. And we think most of the capital that we've talked about, whether it's the Serbia line, whether it's the Alumi-Tek, whether it's the Torrance closure and the Whitby and Fort Worth capital, all those things will be largely completed in 2011.
Operator: Continuing on, our next question comes from the line of Alton Stump from Longbow Research.
Alton Stump - Longbow Research LLC: On the beer side of things, here domestically, it looks like we're finally seeing beer volumes come back and we are finally seeing there was some increase to vendor support. And I just want to get an idea off of pretty easy comps, if there might be some opportunity for growth in the course of 2011, if you do see that vendor support continue for the beer players?
John Hayes: The beer market in North America, I presume you're talking about that segment, has been soft over the last couple of years. I think the breweries, generally speaking, have been going after value as opposed to volume and as a result, the overall market there has been down a couple of percent every year. There has been some positive signs relative to promotional activity and other things around that. But one of the big impediments is a lot of the unemployment here in the United States is in that 21- to 29-year-old category, and that's a big Beer segment. And I think until we see some improvement on the unemployment in that segment, we're going to still see some muted growth on the Beer segment.
Operator: Gentlemen, we now have a follow-up question from the line of George Staphos, Bank of America Merrill Lynch.
George Staphos: Dave or John, looking back over time, the mid-2000s, the company ramped its capital spending program. And during that period, there were a couple of hiccups that occurred at that point in time, project net took a little bit of time to get off the ground. Everything obviously worked out for the best, looking back in time. Here the company is once again ratcheting up the level of spending, I realize you don't expect to stay at this level for more than a couple of years perhaps, but how do you guard against perhaps taking on too much when looking back, if you agree with the analogy, looking back in the mid-2000s and some of the hiccups that occurred then?
R. Hoover: Yes, I'm going to start -- I wasn't going to answer any questions but you're talking about things that were really my responsibility, so I want to take the blame for those delays in capital. I think, I'll answer this quickly, George, but these projects are across our business and the business is bigger. Brazil is now a part of all our numbers. It's a large fast-growing market, and some of this capital is going to happen there. In China, we bought JFP, big plant. Some of the capital we're talking about is there. And it's largely things that we know how to do. So we don't see a lot of risk. But you did hear John say our focus this year is going to be an execution.
John Hayes: Yes, absolutely. We're laser focused. We spend a lot of time talking about that making sure we have the right resources, apply it in the right way to ensure the success of these projects. And as Dave just pointed out, there's a diversity of these projects. This is not new technology. This is what we do. And as a result, we are confident that we're going to be able to execute successfully on those.
George Staphos: On the execution front, you have the volume coming back in North America from the rebalancing work you did over the last couple of years. Realizing it's January 27, how is that business being integrated thus far? Any issues that you see? My guess is probably not, given your outlook, but I wanted to get that confirmation.
John Hayes: It's going seamlessly.
George Staphos: I guess that's about as good as it can go. I guess the last question I had for you, John, what message have you been emphasizing with the team and with employees as you assumed the CEO role? And how do you think, if at all, the message or the strategy might change relative to Dave's tenure?
John Hayes: Well, we're not even talking 24 hours here. So but as I said earlier, Ball has been successful because we have been very prudent users of our capital. We've been strategically opportunistic, and we have a very good set of people that have their DNA wired for good set of values and it's all about continuous improvement. And when you do that and combine it with our close-to-the-customer strategy and focus on our customer, that model works. As what I've been talking to people when they ask this question, I say, don't fix what isn't broke. We are in a wonderful place right now. And it's up to the 14,000-plus people at Ball, led by Scott, myself and Ray and others, to make sure that we're focusing as much on replicating what we've done over the past 10 years into the next 10 years.
Operator: And gentlemen, our next question is once again a follow-up from Andy Feinman from Iridian Asset Management.
Andrew Feinman - Iridian Asset Management: I wanted to also ask, your margin in Metal, Food and Household was supposed to be down this year, I thought, because you had the metal gain last year and, instead, it was the same. So I'm not quite sure how you did that and what that means for the future? It was 9.4%, and I never expected it to be that high, so...
John Hayes: Andy, it's a great tip of the cap to the folks that are working in that business. A lot of the improvement came on the cost side of the business. As you know, several years ago, we were struggling in that business and we're not anymore. As we go forward, I think a lot of the low hanging fruit is past us. And so I would not expect an ability to improve margins at all in that business, but we have been doing to a wonderful job of bringing cost out of that business.
Andrew Feinman - Iridian Asset Management: So you think you had maintained them? Because if you maintained them, I think that would be a home run.
John Hayes: Yes, I think we can maintain them. Obviously, you have to adjust for metal and all those things. But the profitability in that business is where we think we can hold it.
Operator: Gentlemen, that was our final question from our audience. I'll turn it back to Mr. Hoover for his concluding remarks. Thank you.
R. Hoover: Well, Thelma, thank you. I think you're probably the best hostess that we've had on our conference calls. So thank you very much for that. Well, I think that I just would again thank all of you for your interest in Ball Corporation. We feel very good about the future of this company. As I look out over the next few years, and it looks like we're going to have improvements. And I don't know, John, if you want to get a little more specific about what we may be expecting for next year?
John Hayes: It's January 27 right now, and the weather, we have to see what happens with the weather. But as Dave said, we feel very constructive as we head into not only 2011 but equally importantly, beyond. And so we want to thank you for participating. Thank you again, Dave. And we look forward to talking to everyone at the April conference call. Thanks again.
Operator: Thank you, gentlemen. Ladies and gentlemen, that does conclude the conference call for today. We thank you all for your participation and ask that you please disconnect. Thank you once again, and have a great day.